Operator: Greetings, and welcome to the U.S. Well Services Full Year and Fourth Quarter 2020 Earnings Conference Call.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Josh Shapiro, Vice President, Finance and Investor Relations. Thank you, sir, you may begin.
Josh Shapiro: Thank you, operator, and good morning, everyone. We appreciate you joining us for the U.S. Well Services conference call and webcast to review the full year and fourth quarter 2020 results. Joining us on the call this morning are Joel Broussard, Chief Executive Officer; and Kyle O'Neill, Chief Financial Officer. Following their prepared remarks, the call will be open for Q&A.
Joel Broussard: Thanks, Josh and good morning, everyone. Last year, in early March, we reported our 2019 earnings, just as concerns about the spread of COVID-19 were beginning to surface in the United States. We pointed out then that we did not know what impact it would have on our business and that we were monitoring the situation actively. Because of this uncertainty, the U.S. Well Services team prepared for the worst-case scenario and began to implement our strategic plan. Knowing that the spread of the coronavirus could be devastating to our industry, we aggressively eliminated fixed costs, reduced our variable cost structure and approached our lenders with a proposal that enabled us to eliminate principal and interest payments on our term loan, preserving liquidity to weather the storm. These actions combined with proactive communication and planning with our customers allowed U.S. Well Services to remain strong throughout the worst of the pandemic. I cannot thank my team enough for their hard work, dedication and sacrifice throughout the year. With their commitment and support, U.S. Well Services was able to generate positive adjusted EBITDA each quarter in 2020 and emerge well positioned to capitalize on the ongoing market recovery.
Kyle O'Neill: Thanks, Joel. I'll start off by reviewing the fourth quarter of 2020, before adding some colour on our full year results. We generated $48 million of revenue in the fourth quarter, up 9% from $44 million in the third quarter. The increase in revenue was driven primarily by higher number of active fleets working. Our revenues were up on higher activity levels. Service and equipment pricing on a per hour basis was down approximately 10% as we deployed new fleets at market rates. As Joel mentioned earlier, we're beginning to see the market tighten and are confident that pricing will improve heading into the second half of the year. Our cost of sales for the quarter was $42 million, up from $31 million in the third quarter. This increase in cost is largely attributable to labour and repair costs incurred as we prepared fleets to return to service in the new year. On a per hour basis, labour and repair expense increased 5% and 16% quarter-over-quarter respectively. SG&A in the fourth quarter was $13 million. Excluding a $3 million noncash charge for doubtful accounts and a $4.7 million charge for stock-based compensation, SG&A was $5.6 million compared to $5 million in the third quarter. The increasing cash SG&A was primarily related to professional fees. Adjusted EBITDA for the fourth quarter was $1.8 million. Excluding the non-cash charge for doubtful accounts, adjusted EBITDA was $44.8 million or $3.6 million for fully utilized fleet on an annualized basis. This compares to $8 million of adjusted EBITDA in the third quarter or $7.7 million for fully utilized fleet on an annualized basis. On an accrual basis, U.S. Well Services spent approximately $4.1 million on maintenance capital expenditures during the quarter.
Joel Broussard: Thanks, Kyle. U.S. Well Services is in an enviable position. Our intellectual property, experience operating next generation electric fleet, and proven track record are delivering results on behalf of our customers as this company well suited to be a market leader going forward. The electric fracturing is the future of our industry and we continue to enjoy a first mover advantage. I'd like to once again thank the entire U.S. WS team for a job well done in 2020 and will now turn the call over to the operator for Q&A.
Operator:  Our first question comes from line of Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro:
Joel Broussard: Kyle, you want to take that one?
Kyle O'Neill: Sure. I think that the increased activity is obviously going to help spread out some of our fixed costs and overhead. Anytime we ramp up and nearly double our active fleet count, you've got a lot of one-time costs to roll those fleets out. So that expenditures - those expenses have been spent, and I think that absent any type of further downturn, we should be able to have those fleets fully utilized, and that will help increase profitability.
Joel Broussard: Yes, we've seen an uptick in activity and greater fleet utilization. And generally, there's a lag and pricing improvement usually follows this increase in utilization. Although we expect the price and environment to improve, predicating the exact time timing is difficult, right? So everybody knows we went from 5.5 active fleet to 10 this quarter. So we feel that pricing will continue to improve and some of these onetime costs that Kyle had mentioned will go away.
Stephen Gengaro: And just to follow-up, if you don't see pricing based on the contracts in the overhead absorption, can that number get close to double digits without pricing, or do you need pricing to get to double digits?
Kyle O'Neill: On a per fleet basis, like we'll need pricing improvement to get to into the double digits per fleet on an annualized basis.
Stephen Gengaro: And then the second last question was just around some of the comments that you guys made on electric fleets, the cost of ownership of the Clean Fleet versus the upfront costs. And what I was curious about was the pricing dynamic that you've seen and you expect to see for the Clean Fleets versus the traditional fleets, especially in light of, I mean, the cost savings you have on the diesel front. How do you think that starts to accrue to your benefit versus the E&Ps?
Joel Broussard: Well, we feel it's accrued in our benefit now. Even with the - if we take part of it, the fuel savings, let's say half of it, we're still way ahead of a diesel fleet on a per fleet EBITDA basis. When we previously started this, we would - when the market was real hot and pricing was up and all our peers were actually making EBITDA and putting fleets out for positive cash flow, which most of them aren't doing now, we would give all the cost savings of fuel to the client. But we - at low prices, the way they are, we can still give 50% or more of cost savings on fuel to the client and still - and that makes those fleets way more profitable for us.
Stephen Gengaro: Okay. So is it fair to say then that the conventional fleets are operating - so a little bit of the headwind to EBITDA per fleet going forward as sort of a mix hurts you a little bit? Because it sounds like you're getting better prices for the Clean Fleets.
Joel Broussard: Exactly.
Kyle O'Neill: Yeah. That's exactly right.
Operator: Our next question comes from line of Ian MacPherson with Simmons. Please proceed with your question.
Ian MacPherson: Joel, I wanted to circle back to a comment in the release regarding some commercial opportunities that exist for expanding your Clean Fleet this year. So that to me was noteworthy. Obviously, you don't have tremendous balance sheet flexibility to do any fleet expansion on any form of speculative basis, clearly. So I presume you're contemplating sponsored fleet expansion. Can you elaborate on those possibilities and maybe any magnitude and timing of those?
Joel Broussard: We start - in the next 90, probably 120 days, we'll have three trials with three different clients with our original version of our fleet that we built in 2014. And all three of those clients are saying that they want to go electric. And actually, the first client wants to keep it if it goes well, which it will go well. However, we're making those decisions now. And when it comes to, on building them, I would like - we have all the auxiliary equipment to deploy two more electric fleets. We just need to build some pumps, which we could do through vendor financing/equity. So we think that by the end of the year with the demand we're seeing, we could potentially have two more electric fleets up.
Ian MacPherson: Okay. And so really, you're speaking to your advantage as an experienced operator, this equipment, as well as less than a full 100% of capital requirement in order to build out a couple of a couple more fleets, because you have some of the capital in-house presently?
Kyle O'Neill: Exactly.
Joel Broussard: Correct.
Ian MacPherson: Okay. I've got some more model stuff. I'll follow up with you later, Kyle, on that.
Operator: Our next question comes from the line of Daniel Burke with Johnson Rice. Please proceed with your question.
Daniel Burke: Let's see what's left. Joel, you guys have produced some pretty good efficiencies out there in the field. What's your outlook for efficiencies this year across the fleet, both the electrics and the diesels?
Joel Broussard: We, on efficiency-wise, we're really happy with most of our fleets, especially the electric ones. The diesel ones that are coming out, we're seeing a slight improvement, but our efficiencies are top of our peer group and on our hours pumped per month. And we're excited about it. Now on the electric side, there's some opportunities to where we deploy fleets without any generators and actually frack off the grid, which is why it's pretty robust when it comes to that. And a lot of people have built out - there's some clients, E&P clients that have built out substations and have contracted power from the electrical companies that are not using what they said they would use and are fixing to get charged penalties for using it. So we feel this will be an advantage to us also.
Daniel Burke: Okay. That's an interesting element of the build-out on the electric side for you guys as well then. All right. Okay. So we're in March, you got 10 fleets deployed. I assume the trials that would involve the first-generation electric would be additive to the 10. I think you've still got a couple of fleets on the diesel side left in inventory. Do you have visibility towards any further reactivations into Q2?
Joel Broussard: I do not - you're right. The first question, you're right, it will be additive to the 10 fleets. However, I do not foresee us putting any more diesel fleets out than we currently have out now, unless pricing would - potentially, pricing would have to double.
Daniel Burke: Okay. And does that speak to the reactivation cost associated with what remains?
Joel Broussard: Yes.
Daniel Burke: Okay. And then maybe just one last one -
Joel Broussard: Well, I'm sorry, Daniel. It specifically speaks to the pricing on diesel.
Daniel Burke: Yes, no. Okay. That's fair.
Joel Broussard: I mean that's the driving factor. Of course, if the pricing is substantial enough to where we can justify the reactivate costs, I would do it. But today's diesel prices are not even close to wanting to activate another diesel fleet.
Daniel Burke: Understood. And then maybe last one for me, maybe for Kyle, is any thoughts on cash flow outlook here for Q1? And if that's hard to speak to, maybe more simply, what would working capital trends look like in Q1?
Joel Broussard: Kyle, do you want to take that one, please?
Kyle O'Neill: Yes, sure. Yes, we made kind of big strides in the second half of last year, getting our working capital back in line. And I think things are normalizing and heading in the right direction. I think thinking about the company kind of in a steady state working capital environment and looking at EBITDA less maintenance CapEx, we should be in a positive cash flow position.
Operator: Our next question is a follow-up from Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Two other quick ones, please, gentlemen. The first, you might have mentioned this, I may have missed it. Any thoughts on 2021 CapEx outlook? And you mentioned in the release about potential opportunities to expand the fleet. If you looked at something like that, what kind of contract would it require? And how would you think about financing it?
Joel Broussard: Like I mentioned earlier, it would be through equity and vendor financing. And that would be - we would add another 36 or 37 pumps. And I think - and two blenders and that runs about right at $50 million, which would probably be done through equity/vendor financing.
Stephen Gengaro: Great. And then just maintenance CapEx for 2021, is it similar to 2020 on a per fleet basis?
Kyle O'Neill: It's going to be slightly higher, Stephen. And that's just because the proportion of diesel fleets is going to be increasing relative to 2020 levels. So it's going to be slightly higher. It will be probably more in line with what our 2019 figures look like.
Operator: We have reached the end of the question-and-answer session. Mr. Broussard, I would now like to turn the floor back over to you for closing comments.
Joel Broussard: Thank you for joining us today. Have a good weekend.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.